Operator: Good morning. My name is Daniel, and I will be your conference operator today. At this time, I would like to welcome everyone to Savaria Corporation's Q4 2025 Investor and Analyst Call. [Operator Instructions] Please be advised that today's conference is being recorded. This call may contain forward-looking statements, which are subject to the disclosure statement contained in Savaria's most recent press release issued on March 4, 2026, with respect to its QX 2025 results. Thank you. Mr. Bourassa, you may begin your conference.
Sébastien Bourassa: Thank you, Daniel, and good morning, everyone. Today, I will start with a small recap of our Q4 results. Then Steve will update us on financial, and JP will update us on Savaria One and Europe, followed by a Q&A session. Once again, I'm very proud of our Q4 results. As for the first time ever, we reached $51.3 million of EBITDA at 21.2%, which is a very important milestone and our best quarter ever. We finished the year with sales of $913 million and an EBITDA of $186.2 million at 20.4%, which again is our best result ever. All KPIs are improving, and Steve will go more in detail later. Today, there's 3 things that I would like to highlight. First, thank you. Yesterday marked the 5-year anniversary of Handicare acquisition, and I need to say that I'm quite proud of all the work that has been achieved since the beginning, especially through Savaria One. It's not the same company anymore, and you can see it in the people, in the operation, in the product portfolio and recently, the change under Savaria brand in Europe. So I'm very optimistic about the future and the growth and the profitability. Also, I would like to highlight the performance of Garaventa North America in 2025. It was a record year for the team in Vancouver and North America. So congrats to all the team. Second, growth. I'm quite happy with the way we ended the year as we had growth in each area. And it is the pillar that was a bit behind in the Savaria One as naturally commercial efforts takes more time usually to pay off. And here are some example of the recent effort to have to generate some future growth. We continue the effort to develop the market on home elevator in North America, increase our sales effort in North America, continue to expand the Matot dumbwaiter material lift line of products. Business development activities are always ongoing so that we continue our growth and be a market leader. Expand the one-stop shop in Europe, talk about it for a long time, but it's coming, the Luma, the VPL, the inclined lift, so that will give us a good future. Continue to be the partner of choice on stairlift in Europe. And in the patient care, on the room and continue to develop the long-term care segment as well as the acute care. It's just some small details, and we'll try to unveil more detail during our Investor Day on April 14 as well as our 5 years financial target. Third item, acquisition. We have demonstrated in the past that we can do 3, 4 acquisitions per year to bring additional sales and EBITDA. And now with liquidity of $312 million and a debt ratio of 1.03, we can easily invest $200 million over the next few years and maintain an EBITDA debt below 2, which has been always a comfort zone. With the best team ever, we feel quite good that we can apply the learning over the last 2 years towards integration to make it successful faster. The recent acquisition of Baxter Residential Elevator is a good example. Small tuck-in, but very strategic in a high potential area. It's one of the most area with the best housing start in North America. We will invest more to develop this area with our sales force, our marketing to become a dominating player in Texas. So welcome R&D and all the team in the Savaria family. To conclude, what allows us to beat each quarter after quarter in the last 2 years is the new Savaria One culture. It's part of our DNA, and it make it normal to always have continuous improvement and what we implement is sustainable. Once again, thanks to all the employees for their efforts over the last 2 years and looking forward to this new chapter of growth. Steve, financial, please.
Stephen Reitknecht: Thank you, Sebastien, and good morning to everyone on the call. I'm now going to provide some further detail and commentary regarding our Q4 2025 financial results. Key highlights for the quarter include: firstly, our adjusted EBITDA for Q4 reached $51.3 million, which is our highest quarter ever and represents growth of almost 20% over prior year. The corresponding margin of 21.2% represents an increase of 200 basis points and brings our 2025 year-to-date margin to 20.4%. This EBITDA performance was driven by revenue growth of 8.3%, made up of almost 8% growth in Accessibility and 10% growth in Patient Care. And lastly, our Q4 ending leverage ratio was 1.03, which reflects a decrease of $71 million in our net debt versus the same time last year. So now going into more details. Consolidated revenues for the quarter were $241.8 million, an increase of $18.4 million versus last year. This was driven by organic growth of 5.2% as well as a positive foreign exchange impact of 2.5%. Our Q2 acquisition of Western Elevator also provided revenue growth of 0.6%. Our Accessibility segment saw growth of 7.7%, including growth of 7.2% coming from North America, combined with a strong growth of 9% in Europe. Europe recorded positive organic growth this quarter, and we feel that we have turned the corner there. Patient Care achieved a revenue growth of 10% in Q4 to bring the full year revenue growth number for that segment to almost 5%. Our consolidated gross margin for the quarter was 38.9% compared to 37.7% in 2024, and our operating income increased by 36.6%. This performance is mainly driven by the Accessibility segment due to continued improvements under Savaria One as well as operating leverage. As mentioned, adjusted EBITDA was $51.3 million for the quarter, marking our first quarter above the $50 million threshold. Adjusted EBITDA margin finished at 21.2% for the quarter versus 19.2% in Q4 2024. And the Accessibility segment finished at 23.4%, while Patient Care finished at 19.4%. Our full year adjusted EBITDA margin was 20.4%, which is above our goal of 20% that we set over 3 years ago. We also incurred $4.7 million in strategic initiative expenses for the quarter. This quarter marks the last quarter of consulting fees related to Savaria One. We also incurred $1.8 million of other expenses in this quarter, and that's related to optimization and one-off costs. Finance costs for the quarter were $4.8 million compared to $2.4 million last year. Interest on long-term debt decreased by $1.3 million due to an overall lower debt balance and a reduction in variable interest rates. We also incurred an unrealized foreign currency loss of $1.7 million compared to a gain at the same time last year. Net earnings was $20.5 million for the quarter compared to $14.3 million last year, which is an increase of 43%. And earnings per share was $0.28 for the quarter compared to $0.20 in Q4 2024. Now looking at cash flow and our balance sheet. Cash flow from operating activities in Q4 was $35 million, driven by the strong net earnings and also a reduction of working capital of $2.8 million for the quarter. CapEx was $6.8 million for the quarter and finished at $22 million for the year, which represents 2.4% of sales and is in line with our guidance. CapEx mainly includes for us a mixture of maintenance, new equipment and R&D costs. Our cash flow contributed to a repayment of debt of $45.2 million in Q4 and $75.2 million for all of 2025, improving our leverage ratio to 1.03 at year-end, as previously mentioned. We finished 2025 with our guidance largely achieved. As noted already, we surpassed our adjusted EBITDA goal of 20%, which we owe in large part to Savaria One and the transformation that has taken place across the company. This new profitability level is 100% structural and it was achieved without any favorable one-offs in our underlying numbers. Savaria One is a continuous improvement way of working that is now ingrained in our culture, and the next phase of our strategic plan will focus on accelerating growth by expanding our market opportunities, deepening customer relationships and further strengthening our competitive position. We look forward to sharing more details at our upcoming Investor Day in April. And with that, that completes my prepared remarks, and I'll turn the call over to JP to provide further details on Savaria One. JP?
Jean-Philippe Montigny: Yes. Thank you, Steve, and good morning, everyone. So let me first talk about Savaria One to explain what happened in 2025, highlight some of the successes in Q4 and also give a heads up for what we expect in '26, and then I'll say a few words about Europe. 2025 was a year of transition for us on Savaria One because we really internalized the effort. What happened is we kept the rigorous cadence of implementation that we had for the past years. We started to generate more initiatives by ourselves. So a lot of the initiatives we implemented in last year have been developed in-house without any support. When I look back at the numbers, we implemented more than a dozen initiatives each month for -- with over 160 initiatives through the year. So it's really a lot of small efforts across the company that are paying off. We also continue to generate more gains each quarter than the quarter before, which means that we have an accelerating momentum. So nothing is slowing down on our side. Also important to note is that we refreshed our strategic plan last summer and early fall, and that's something we'll present in the next Investor Day in April. And therefore, we have a growth road map for the next 3 years, but also cost reduction initiatives that we continue to implement. So I think we had a very successful year in 2025 on Savaria One, and now we enter 2026 with at least 100 new initiatives generated for this year. So still a lot of work ahead of us. If I look at Q4 in particular, there were about 35 new initiatives implemented in the quarter, generating multiple millions of recurring savings. Some examples of what happened include the renegotiation of our main IT support and license contracts. We also improved our -- what we call the RMA process, which is the returns and warranty parts process to reuse more parts. We completed a number of procurement RFPs, which delivered savings across different categories. We also partnered with a distributor for small hardware across many of our facilities to reduce small hardware costs. Also, we had some additional successes with automation of our business processes and something that we've been working on for some time is getting our field engineers to be more efficiently dispatched and that continues to improve. And finally, we reduced our warehousing costs and also innovative in our factories. So still many improvements happening even in Q4 last year. So we're also already actioning some elements of our growth plan. So we did a lot of work last summer to look at how we can grow the business. But as you saw in the results in Q4, we're already accelerating our growth, including in Europe. So that's very positive. And one thing I want to highlight is our direct businesses are doing particularly well, and that's because we had a lot of innovation and improvements in those through Savaria One. So what to expect for 2026 for Savaria One. Like I mentioned, we entered the year with 2 things. First is about 100 new initiatives that we're going to implement this year, but we also have some tailwinds or momentum, if you call it this way, from all the initiatives we implemented in 2025. So if you remember, we had initiatives implemented through the year and some of them did not pay off fully in the year and continue to accrue benefits in the next year. So we -- I think we have good momentum starting this year. And of course, we'll have more details to unveil during the Investor Day. But rest assured, everything -- all the good habits we developed in Savaria One continue. In fact, we decided to keep the name Savaria One internally because we really believe this is the right way to talk about how we improve the business and work together to be one great efficient company. Maybe some news about Europe now. So I started a new role earlier this year officially, but I've been spending a lot of time in Europe in Q4 of last year. And the way I would think about it is that the last 2 years in Europe before I started, we were a lot about reorganizing the business and improving profitability. But somehow my arrival coincides with a changing in momentum and priorities for Europe, where we now have a good business that is very healthy and profitable, and our focus is about growing the top line. And as you saw in the Q4 results, we already have some good momentum there. So one thing that we did to make that happen and enable that going forward is we already reorganized the team in Europe to have a better allocation of responsibility between different dealers so we can have a better support for each of our growth vectors. We also spent a lot of time with our different dealers, which actually have great feedback about our company, about our support to those dealers and about our products. So that is already starting to show in the numbers, and we're quite optimistic about the potential there. We already had some good wins since I started of dealers switching their product portfolio to us. And again, it shows in the numbers that we had in Q4. Looking forward, 2026 is going to be a year of new product introductions and of innovations, especially in Europe, where we have new stairlifts that are coming, but also a new incline platform lift. We have a number of field trials going on right now. And hopefully, if everything goes well, this year, we'll have a number of those product introductions to come to mass market. Finally, we did something important for us, which is that we rebranded our operations in Europe to be under the name Savaria, which is a bit of a symbolic thing, but to say we are now Savaria in Europe. We're not just the different brands that we used to convey, but we're actually Savaria, which means we have the full product portfolio. We are the one-stop shop, and we're positioning ourselves to be the best partner for accessibility with our dealers. So this summarizes my update. Maybe I'll turn it back to you, Seb, for closing remarks.
Sébastien Bourassa: Thank you very much, JP. Good detail. So before we turn to Q&A, I just want to say thank you very much to all the analysts. You do a very good job on your coverage. You know well the story of Savaria. So hopefully, today, you learn a few new things that you can continue your good work. So Daniel, I think we are ready for questions.
Operator: [Operator Instructions] Our first question comes from Michael Glen with Raymond James.
Michael Glen: Maybe just to start, JP, you were talking about Europe. Can you just remind us -- I think it's been for the past 2 years that Europe on the top line has seen some pressure. Can you just remind us like the -- what were the main items that were overhanging top line in Europe and just the duration of those in total?
Jean-Philippe Montigny: When you say overhanging, you mean that limited the growth of the top line, just to be sure?
Michael Glen: Yes, exactly. I think there were some programs, some government programs that came off and then there was some -- you guys had exited some business, just those elements, the timing of those and the duration.
Jean-Philippe Montigny: If you want exact timing and duration, maybe, Steve, you can complement. I can talk about the main ones, just to give you a flavor. One -- so if you think about top line, what happened is, first of all, we did some divestments in the car business, but that was a while back. So maybe Steve can add to this. We had some restructuring, if I can call it this way, for our business in Europe. So in some of our direct businesses, we decided to have maybe a more rigorous approach on pricing. We did the same in some of our dealer businesses. So in some markets, we had some contracts with, let's say, business partners and dealers that were unfavorable to us. We just held a stronger line on the partnership terms and sometimes on pricing, and that made some of them go to competition. We also had very aggressive competition in some markets, to be honest, so at the same time. So that's why we had limited or sometimes a flat growth in Europe. So I think that happened in -- through 2024 and maybe the first half of 2025, largely speaking. There were also some challenges with government programs. So in many of our markets in Europe, there is some form of government support for purchasing of our accessibility products. And sometimes, for example, in France and Italy, last year, there were some moment of stop and go. So the government would announce a program, for example, in France, but would not be ready to process the order. So that slows down the business or in Italy, they announced that the program would stop and then it started again. So there's a bit of stop and go like this happening. But I think that's just creating fluctuations quarter-to-quarter. But I think the fundamental thing we did in the last 2 years is more to be more rigorous about which business we want to have, be more disciplined about which partnerships and the pricing we want to have, and that resulted in limited growth since 2024. Steve, do you want to add anything on this?
Stephen Reitknecht: I mean I think you covered it well, JP -- just adding that the biggest impact was really our focus on higher-margin sales. And we -- these efforts really kicked off with Savaria One. So I'd say, Michael, it's really been 2 years that sort of the end of 2023 and now lapping that at the end of 2025. So it's really been the last 2 years that we've seen sort of that decline now come to an end.
Michael Glen: Okay. No, that's -- thanks for framing it that way. That's good information. And then can you also just provide an update on the capacity expansion in the U.S. and the expected timing for the go-to-market on the Made in the U.S.A. elevator product?
Sébastien Bourassa: Okay. Well, very good question. Thanks for the interest. So yes, definitely, Greenville, if we go back in time in Q2 2025, we started to do some elevator -- home elevator in Greenville. I think right now, again, we are doing approximately 35%, 40% of our home elevator of Savaria brand. In Greenville, depending on where the end user is located, for sure, right now, we're still complying with UMSC. So that means we do not pay tariffs. So that's why we pick and choose. And I will say a Greenville expansion that we are actually have other permits that they are in place, they are digging and the new extension should be ready in October this year. So I think that will be a positive news to be able to continue to add some capacity for the future.
Michael Glen: And with FedEx, when would you expect to -- will the elevator -- how much of the elevator at that point in time will be made in Greenville once that capacity expansion done?
Sébastien Bourassa: We'll need to come back later with more details right now. Again, we are compliant. We do not pay tariffs. So I think this is why we started with one line. And as the expansion gets ready, we'll be able to expand with more for the future.
Michael Glen: And Steve, can you just remind us of how CapEx trends next year and what we should expect quarter-to-quarter?
Stephen Reitknecht: Yes. So the Greenville obviously is a one-off project for us. It's an own building. That started already. It's -- we have shovels in the ground already in 2026. So the work has actually started. We're going to see this probably come live in Q4. So we're going to see the spend or the CapEx investment over the next few quarters. We do have an increase in our CapEx budget this year, but we have tightened up some other areas. So we're going to be slightly over our 2.5% of sales, but this is sort of a one-off project investment that we're treating that way.
Michael Glen: So would it be $25 million in CapEx? I'm just trying to get a number?
Stephen Reitknecht: For 2026, our number is probably going to be more in the 2.5% to 3% of sales.
Operator: Our next question comes from Derek Lessard with TD Cowen.
Derek Lessard: Congratulations on a great year, Sebastien, to you and your team. Maybe just talking about the business as a whole. Curious how you're thinking about it and without stealing any of your thunder coming this April, but is it more -- and you did allude to accelerated top line growth, but can we expect some margin expansion in 2026 as well?
Sébastien Bourassa: Very good question, Derek. So for sure, we need to wait a bit more to get further detail. But definitely, as JP said, things are sustainable. We continue to generate new ideas. And when this new idea, it's not always about money, but often there's some EBITDA impact. So definitely, I would be disappointed if we don't continue to improve the margin this year. Let's call it this way. For sure, we always have to be careful if we do, example, midsized acquisition that could bring down the margins for a certain time. But on the legacy business, on the full Savaria, I'm very positive as the environment change that we should be able to improve the margins.
Derek Lessard: Okay. And then maybe that's a good segue. My next question was on M&A. Curious about the pipeline and maybe some of the opportunities that you're seeing in the market, whether it's new categories that you guys want to get into? Or is it may be related to incremental manufacturing capacity that you might need?
Sébastien Bourassa: Good question. So for sure, again, we have always done M&A in the past, and we like to do M&A because for us, to acquire one of our existing dealer is very natural. And again, we proved it last year with Western, this year with Baxter. So this is good because we are vertically integrated. That gives us a chance to invest a bit more in the local market to accelerate the sales. Also, when we bring in new products, example, Matot when we bought that last year, that's always good because that brings new products to our dealers so that we can continue to be the #1 choice in the industry. So definitely, there's the 2 type of acquisitions we like to do, products or dealer that can help us be better on the local market. Now we are lucky. We have the right liquidity -- but for sure, we always remain disciplined, okay? We don't want to just do acquisition to do acquisition. We have to do the one that will be the most beneficial for the group, we have a good future.
Derek Lessard: Absolutely. Okay. And maybe I'll throw one last one in here for JP. Just maybe talk about your full circle transition from consultant to a leadership role in Europe and how that came about?
Jean-Philippe Montigny: What's your question specifically? Do you want to -- I'm happy to answer, but what are you thinking?
Derek Lessard: No, I was just curious on why -- one, the transition and is it because you saw -- or what opportunities you saw in the role in Europe in particular?
Jean-Philippe Montigny: Well, just I'll try to answer your question. Thanks for asking. For me, the role in Europe is a natural professional progression for me because like joining Savaria as Chief Transformation Officer, I got to know the whole business, and I learned skills that I did not have as a consultant. So I was building on my skill set, but expanding it. And leading the business in Europe is a personal professional challenge for me. So I'm learning a new role. But I feel like I'm also very well equipped for it as a true Savaria One. I did spend a lot of time in Europe. I know the business quite well. I speak multiple languages. I studied and worked in Europe a lot in my previous life. So I think I'm very happy here. I'm having a great time, and I think it's benefiting the business also that I bring some of the Savaria North American culture to Europe, so I can really bridge the gap there. So I think, yes, that's how I think about it. So it's great for me. It's great for the business, I believe. And hopefully, we have a lot of success with me playing this role.
Operator: Our next question comes from Frederic Tremblay with Desjardins Capital Markets.
Frederic Tremblay: Just maybe coming back on the CapEx and beyond 2026, not looking for specific numbers, but just wondering if the growth plans that you're about to introduce, will that require incremental CapEx? Or do you feel like the growth opportunity can be supported with -- largely with the existing infrastructure?
Stephen Reitknecht: Yes. No, I mean, we're definitely going to talk more about this at the Investor Day. But generally speaking, we have enough capacity, especially with what we're building at Greenville to facilitate the growth that we have planned for the next few years. You never know what could come through M&A too as far as footprint is concerned, but we have enough -- especially with the Greenville expansion, we're going to have enough footprint and capacity to achieve our growth plan. So we are going to have a little bit of additional expenditure this year, but we're going to be back down this year being 2026, but we're going to be back down in line with our 2% to 2.5% of sales for 2027. That's our plan. A big part of our CapEx spend, as a reminder, is our R&D. That continues to be an area of focus for us where we do invest. It's roughly half of that CapEx spend on a normal annual year. So it won't be not exactly the same in 2026, but for 2025 and 2027, typically, R&D and intangibles sort of half of where we spend the money. And that's important to us to make sure we have a robust R&D pipeline of new products hitting the market. So while it can be a sizable investment, it's a critical area of expertise for us and a critical competitive advantage, I'm trying to say.
Sébastien Bourassa: Okay. And if I may, Steve. So I think, again, for us, Fred, we have pushed a lot of our factories in the last 2 years to improve, to have the best machine to be the most productive. And right now, we have unlocked so much capacity in the last few years, but to continue to be the best is very, very important for us. And R&D, we have 62 people. I think we have done a lot of reorganization, new process in the company. And you will see that in the future, we'll be able to improve existing products, launch some new one and R&D has to be part of the growth plan. And I think we are pretty in good shape across all our different segments.
Frederic Tremblay: That's great. I was hoping to get maybe a bit of an update on market conditions in North America. We're obviously seeing home construction activity is still pretty slow, but you guys keep growing at a nice pace in North America in Accessibility segment. So wondering if you could comment just generally on the market and sort of what Savaria has been doing to win market share and keep growing nicely in that region.
Sébastien Bourassa: Definitely we have some interesting slide to show at our Investor Day about the size of the market, the opportunity. But again, with the aging of the population, after the densities in the city that town house are going up, okay, that's really helping elevators. And right now, not enough people put a home elevator into their housing, okay? So if we continue the good work with architect, contractor, designer to develop this market, I think that that's enough opportunity to offset some of the slowdown you might have right and left. Example, Texas, we talked about that's an opportunity for us. So I think on our side, we continue to be busy. And when we look at other products like stairlift, it is a necessity. When your bedroom is on the second floor, you cannot go up and down. No, you put a stairlift, it is very affordable. And in some places in Europe, yes, you can have some subsidies. So that's -- again, we have the right demographic to help us.
Frederic Tremblay: Great. And then maybe last one for me. Just on dealer acquisitions. Can you remind us of like the drivers of accelerating the growth of those businesses after you acquired them? I think typically, you'd expect the organic growth of those businesses to accelerate after you've acquired them. So maybe briefly run through some of the key aspects that you guys focus on after acquisitions?
Sébastien Bourassa: For sure, it's a good question. Right now, we own 30 direct store. And I think we -- there's a lot of good place that we do very good business. And at the end, we're able to learn from each other and to bring it to the dealer after the acquisition to enable to invest in the business, to generate more leads to again push with the sales team to meet more architect, contractor. We believe in showroom. So very often, we'll make sure we have a good representation, a nice room that we can bring a professional and customer into our showroom to see what is the best we can do. So I think that's really all the knowledge that we had in the past that when a dealer wants to sell or wants to retire, we are a very natural buyer. Right now, approximately 33% of our sales of accessibility are direct. The rest is dealer, but we are good at it.
Operator: Our next question comes from Zachary Evershed with National Bank Capital Markets.
Zachary Evershed: Congrats on the quarter. So most of my questions have been answered. Maybe just one. You mentioned a 5-year target to be revealed on April 14. Will we be getting shorter-term guidance as well for 2026?
Sébastien Bourassa: I think it's the job of the analyst to do short-term guidance, Zach. But no, we try to -- I think we have demonstrated in the last 2 years, what we are capable to do and what we do is sustainable. I think we'll be able to give enough color at the Investor Day on the 5-year target that people will be able to put a number by themselves for the yearly guidance. No, we want to go on a broader period because we're in the business for the mid, long-term, not for the short-term.
Zachary Evershed: Makes sense. And then actually, just one other one. You previously mentioned that some parts of Europe are already exceeding the 20% margin target while some are dragging. Can you tell us broadly what those units are doing differently versus the ones still under the target? Or is it primarily a function of the subsidies that are available in those geographies?
Sébastien Bourassa: I think just one -- I'm not sure where you got this comment. But I think if we look at our detailed MD&A, I think we see that the accessibility is at 23%. So again, it's a mix of North America and Europe. So I think we're probably closer to the 20% than we were in the past, okay? But I don't think we detail exactly per location or per country what's happening. But maybe some of the good things that we are doing, JP, you want to highlight a few items, what we're doing good for Europe to improve our profitability?
Jean-Philippe Montigny: Yes. So the main things in the last few years has been the efficiency of our factories and our field operations. So in our factories, there are a number of initiatives to reduce, let's say, the number of people we have for the same output by automating some industrial processes we have. So that's been very effective. We also deployed a lot of lean, let's say, lean improvements to our factories. So I think that's where we have a lot of people in the factories and there we became much more efficient. The other place where we have a lot of people is in the field operations for installation and servicing. And for that, we did not only improve the quality, let's say, of our work because we had a lot of training and we elevated the performance of our team by capability building, but also we deployed better systems where the dispatching, for example, is more efficient. So that's something we keep working on, but it's already much better than it was. So through this, we improved the profitability quite a bit. And last thing, as I mentioned before, as we became a bit more let's say, rigorous and strategic in how we price and manage the pricing. So as a result of all these things, we improved our profitability overall.
Operator: Our next question comes from Justin Keywood with Stifel.
Justin Keywood: Just on the Baxter Residential Elevator acquisition announced early in February. I realize it's a tuck-in deal, but are you able to provide any metrics around the profitability of that asset and the opportunity to expand margins and some of the integration activities that have been successful with some of Savaria's other acquisitions?
Sébastien Bourassa: Thank you, Justin. So yes, I would say probably in the low teen, the profitability. But I think the success of Savaria is always the vertical integration from the dealer to the factory, to the subcomponents, example, in Mexico. I think all this make it successful. Again, we see with Baxter a good opportunity. Again, it's a small business unit. So I think we will add some volume and develop some area that will be -- that will continue to help for the success. But I think that's an area that we believe we can be much better and that's why we did the acquisition.
Justin Keywood: Great. That's helpful. And how did the acquisition come about? Was this a cultivated opportunity? Just if you have any background on that.
Sébastien Bourassa: I think at this stage, most of the dealers know that we are a natural buyer. So I think it goes to different conversation with their President right and left, that Nicolas, corporate development. So definitely, we know which dealer might be selling in the next few years and typically, on the list and when they are ready, they call us. So that's a bit of how it works.
Justin Keywood: Great. Good to hear. And I had a question on foreign exchange. It was quite impactful in the quarter. I don't recall it being impactful historically. Just wondering if there's a strategy around managing FX risk with hedges or if there were any unique factors for this quarter impacting the results?
Stephen Reitknecht: We do have some hedges in place, Justin. So we do hedge some of our debt. What happened this quarter was unrealized loss on the U.S. dollar. So some of our mainly related to U.S. cash and to U.S. receivables that when they were converted back to Canadian, just the change in the FX rate quarter-over-quarter created that loss versus the same time last year. You remember the U.S. dollar was going the other way, so quite a bit. So I mean, we do have some hedging in place, but we're going to see these types of impacts on a quarterly basis. I think this one is just more pronounced based on the change in the U.S. dollar over the last short-term.
Operator: Our next question comes from Razi Hasan with Paradigm Capital.
Razi Hasan: You spoke about operating leverage in the quarter. Could you maybe talk about future ability to capture operating leverage and where that comes from?
Stephen Reitknecht: Yes. I mean we're -- we've talked a lot about continued improvements that have come under Savaria One, and it's a new way of working and a new culture here. But something that is just going to happen naturally without any effort is going to be some of that operating leverage. We -- I mentioned the capacity that we have at our sites. A significant amount of our cost base is fixed. So being able to put through more revenue with the same cost base, we're going to see that leverage come through in all of our regions and segments. So we're going to see that in Patient Care and Accessibility. We are making this one-off investment in Greenville, but we feel -- we know that we have enough capacity to service our long-term growth plans. So Razi, we're going to see this come through. We saw some this quarter. We're going to see this continue over the next few years.
Razi Hasan: Okay. Great. And then maybe one for JP. Just if we take a step back a bit, could you maybe provide some details on growth rates for the elevator market in Europe? Just overall, how do you see that market growing? Or how has it been growing? And how do you see it growing going forward?
Jean-Philippe Montigny: Just to clarify, we're currently not playing in the elevator market in Europe, except for Vuelift, right, you know this. So that's the context. Now the growth rate, we will present that in the Investor Day what we think are the growth rates per market, but I think it's in the range of 4% to 5%, if I remember, I'm going from memory, but it's in that range. Most of our markets are in that or slightly higher range of growth rates. So that's what -- yes. But maybe hold that question until the Investor Day, and you'll get a more granular view of all the markets we operate in.
Razi Hasan: Fair enough. That's helpful. And then maybe just lastly, I'm not sure if it was answered earlier or asked, but just thoughts on priorities for capital deployment for 2026.
Stephen Reitknecht: Yes, I can take this one, Razi. I mean we're -- we have been delevering over the last couple of years. We're going to continue to do that. We are building the balance sheet for -- mainly for acquisition growth and for acquisition opportunities to make sure we have the funds available to execute transactions as they arise. So we are at 1x leverage. Our sweet spot is around that 2 mark or below that 2 mark. So Sebastien mentioned in his comments that there's $200 million available for acquisitions over the next few years. I mean this is going to continue to expand, and we're going to -- the idea is that we're going to be self-funding acquisitions. So our dividend policy is relatively stable. We're not looking at buybacks in the short-term, and we talked a little bit about CapEx already, but the main goal right now is to continue to repay debt and use our revolver to execute on acquisitions when they arise.
Operator: Our next question comes from Jonathan Goldman with Scotiabank.
Jonathan Goldman: So really nice organic growth. Maybe we can just focus on accessibility, both North America and Europe. Can you provide some color on how booking trends and backlog have trended so far in Q1? I guess if you want to talk about directionally, has the momentum from Q4 spilled over into 2026?
Sébastien Bourassa: Okay. So I don't think we have retailer backlog in Q4. I think we had a good start of the year. And typically, Q1, there's a bit of deadline in North America for some price increase. So that usually give us a healthy backlog. And I think in terms of stairlift, we are busy. So no, I'm quite comfortable with the way we have exited the year that we have some backlog remaining to hopefully have a good Q1.
Jonathan Goldman: Okay. And maybe switching to Europe, the idea of kind of being a one-stop shop. Can you remind us of what the current product mix is in Europe right now? And I guess related to that, could you give us an update on the dealer uptake and reception of the Luma?
Sébastien Bourassa: Yes. So maybe I will start and JP will complete. So for sure in Europe, we are firstly the stairlift organization. That has been the bread and butter of Handicare for many, many years. And then don't forget, we have the Garaventa brand in Europe, where we have the incline platform. We have been a strong player in incline platform as well. We brought the Luma last year. So for sure, Luma, again, it takes time, but it's one of those we put the seeds for the mid, long-term because people before they buy example, 10, they do and they put in the showroom, then they do one of the customer. So it takes some time. But definitely, there's a lot of traction. People like the products. So I think we'll get a good future. Again, we have the Vuelift in Europe. We have some short VPL called them out. So definitely, we are starting to have a better picture of the one-stop shop and the dealer appreciate that. So I think that would be good. Maybe JP, you want to complete something on that?
Jean-Philippe Montigny: Well, I think you said it well, Sebastien, but I think it's recent that we bring almost all the products. So the one big piece that's missing is home elevators because we have the Vuelift, but we don't have the other category killers like the Eclipse, for example, but for everything else, we are there. But for us, to be transparent, for example, selling incline platform lifts, vertical platform lifts has always been something that we existed through Garaventa, but we still have room to grow there because we're, for example, educating even still today some of our historical Handicare dealers to sell those products, okay? So at least we made progress in that regard in the last few years, but there is still work for us to do and room for us to cross-sell our different products to our different historical dealers in Europe.
Jonathan Goldman: Okay. That's good color. And maybe just one more. On the Patient Care, the organic growth was really strong in the quarter, and you were lapping also like a really strong comp as well. Was there any onetime projects in there or anything that would make that growth look unusual?
Sébastien Bourassa: About patient Care, we have to be careful. It's always a bit lumpy from one quarter to the other, because of big project, as you said, and sometimes there's some deadline with some funding with the government. But on our side, we try to get more at a year versus a quarter for the Patient Care. I think last year, we finished in the low 5% of growth. I think it is below what we want, but I think this is how we should look at it.
Operator: Our next question is a follow-up from Michael Glen with Raymond James.
Michael Glen: I'm just -- I apologize if I missed this, but did you indicate what the organic -- like the excluding ForEx organic growth rate was in Europe for the quarter?
Jean-Philippe Montigny: Steve?
Stephen Reitknecht: Yes. So we don't typically disclose that number, but we had low single digit -- in the quarter, we had low single-digit organic growth in Europe. They had a very large positive FX impact. So it's roughly around the 9% split roughly around 2% organic and 7% FX, but the pound and euro strengthened versus the CAD.
Michael Glen: Okay. And that -- is it safe to assume that, that would have been negative through the first 9 months of the year?
Stephen Reitknecht: No, it wasn't negative. It's been positive for most of the year.
Michael Glen: Okay. And then just the tax rate next year or this year '2026?
Stephen Reitknecht: Yes. And so maybe your question is coming from our lower tax rate that we experienced in Q4. For next year, we're expecting to be back in the range of 26%, 26.5%. There were some positive impacts in Q4 that you'll see. I think our rate for the quarter was about 17.5% and we had some positive adjustments on earnings in some countries that previously were experiencing losses. So we have carryforward losses in some of those countries that where we're now making income that we apply those losses against the current income so that the effective tax rate is lower. So there was a bit of a one-off adjustment. But going forward, I think if you're modeling, keep 26.5%.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Sebastien Bourassa for closing remarks.
Sébastien Bourassa: Thank you very much, Daniel. So thanks for all the good questions. It seems a lot of good interest this morning. So again, I'm very happy of the results, very proud of that. And I think it shows that we are in a good industry. We continue to do the right thing, Savaria One learning we did in the last 2 years. So quite comfortable and excited to present to you the next chapter of growth in April. And I remember, if you have interest to be at the Investor Day in April in Brampton, Toronto, please register so that we have enough chair and enough sandwich for lunch. So thank you very much, Daniel. See you next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.